Operator: Good afternoon, everyone. Welcome to the Superior Group of Companies First Quarter 2022 Conference Call. With us today are Michael Benstock, the company's Chief Executive Officer; and Andy Demott, which is -- that's Chief Operating Officer and Chief Financial Officer.  This call is being recorded, and your participation implies that you agree to this. If you don't, then simply drop-off the line. Now I'll turn the call over to Mr. Jeff Elliott, Partner and Senior Manager Director of the Three Part Advisors, who will read the safe harbor statement. Please go ahead.
Jeff Elliott: Thanks, Joe. This conference call may contain forward-looking statements about Superior Group of Companies within the meaning of the Securities Act of 1933, the Securities Exchange Act of 1934, the Private Securities Reform Act of 1995 and all rules and regulations issued there under. Such statements are based upon management's current expectations, projections, estimates and assumptions. Words such as will, expect, believe, anticipate, think, outlook, hope and variations of such words and similar expressions identify such forward-looking statements, which includes statements on the impact of COVID-19 on the company's business, including inventory, supply chain, manufacturing supply chain, manufacturing capacity at the company's own and contract manufacturing facilities, service capacity and customer demand. Forward-looking statements involve known and unknown risks and uncertainties that may cause future results to differ materially from those suggested by the forward-looking statements. Such risks and uncertainties include, but are not limited to, the following: the effect of COVID-19 crisis on the US and global markets, our business, operations, customers, suppliers and employees; general economic conditions in the areas of the United States in which the company's customers are located; changes in the markets where uniforms are worn, where promotional products are sold and where call center services are used; the impact of competition; the company's ability to successfully integrate operations following consummation of acquisitions and the availability of manufacturing materials, as well as the risks and uncertainties disclosed in the company's periodic filings with the Securities and Exchange Commission, including the company's Annual Report on Form 10-K for the year ended December 31, 2021, the quarterly report on Form 10-Q for the quarter ended March 31, 2022, and the 8-Ks filed recently. Shareholders, potential investors and other readers are urged to consider these factors carefully in evaluating the forward-looking statements made herein and are cautioned not to place undue reliance on such forward-looking statements. The company does not undertake to update the forward-looking statements contained herein to conform to actual results or changes in the company's expectations whether as a result of new information, future events or otherwise, except as required by law. Please note that all growth comparisons that management makes today will relate to the corresponding period in 2020, unless otherwise noted. With that, I'd like to turn the call over to Michael.
Michael Benstock: Thank you, Jeff. Good afternoon, everyone. Thanks, again, for joining us for our Q1 2022 earnings call. Today, I will share performance highlights and touch on the current macro environment. After that, Andy will provide an operational, financial update. Chief Strategy Officer, Phil Koosed and Jake Himelstein, BAMKO's President will participate in the Q&A session following the prepared remarks. Superior Group of Companies is growing in all core businesses and remains focused on executing against our long-term strategic roadmap. Our team has shown resilience in the face of a variety of macro headwinds, which continue to challenge businesses around the world. I would like to acknowledge some recent company achievements and milestones. On May 2nd, we announced the acquisition of Guardian Products, a promotional products distributor focused on the automotive space, which is a natural extension of BAMKO's December 2021 acquisition of Sutter's Mill. Guardian expands our already dominant presence in the automotive market and brings a superb culture and talent to the BAMKO team. We expect guardian to be immediately accretive to the bottom line. Following a sense of beta testing, our state-of-the-art robotic system in Eudora, Arkansas distribution facility is finally slated to go live in the next couple of weeks. This is a significant achievement. I appreciate everyone who has contributed over the past years to bring our new upgraded robotics online. Significant savings will be realized as a result of our $12 million investment into this project. Sales synergies realized through the combination of our branded uniforms and branded merchandise sales force and marketing efforts are driving further accelerated integration of these businesses, which we will also discuss in more detail later. Our organization is growing and has been executing against initiatives to expand and fortify our team for the future. We anticipate sharing some exciting talent announcements in the coming weeks. Now, I'm going to review segment highlights. Please note that the first quarter of 2022 will conclude the unusual year-over-year comparisons related to critical PPE sourcing that the company executed during the height of the pandemic. We will start to see normalized comparisons in Q2 2022. I will begin with our uniform segment. Our uniform sales during the first quarter increased 5.6% compared to first quarter 2021, excluding PPE sales, and decreased 11.8% including PPE. Our strong inventory position ensures customer's needs are met during continued supply chain uncertainty. We're seeing our supply chain get healthier by the day with improving fill rates and improving capability to fully capitalize on replenishment opportunities quickly. Through strategic adjustments in our buying behavior, we are mitigating risks and improving reliability to customers. Current favorable inventory stocking positions for both Fashion Seal Healthcare institutional healthcare apparel and WonderWink Fashion healthcare scrubs by CID puts us on a strong footing to service existing and new customers. Higher fill rates are anticipated going forward, which should also lead to more replenishment orders. Coming into 2022, we saw some softness in the first quarter as CID's retailer customers were enjoying the benefit of their consumers having received 2021 stimulus checks that did not reoccur in 2022. That coupled with higher than expected inflation, resulted in a more cautious consumer, pressuring retailers spending. Some regions posted strong pockets of growth as a result of sales territory realignment, and reorganizations done in 2021. We expect to have a strong second half of fiscal 2022, fueled by growth with new product introductions for WonderWink and also including an upcoming product launch with our licensed partner, Carhartt. Most importantly, as we begin Q2, we're well aligned to ensure confidence in our ability to service our customers at even better than pre-pandemic levels. International expansion particularly to Europe and Latin America remains a key strategic element in the company's long-term growth strategy. European business is off to a strong start led by the Director of Sales for Europe who joined the team last September. We are conducting additional market research to enhance our understanding of the various countries, consumers and opportunities. Our distribution center in Poland is busy and contributing to reduce delivery times and shipping costs for our Middle Eastern and European customers. Overall, our healthcare team is performing well in demonstrating resilience while facing challenges due to COVID over the past 18 months. We continue to execute against our omnichannel sales strategy, penetrating new international markets, trading group sales, specialty sales and e-commerce. Business channel optimization remains key, and we're working to increase profitability, optimize content for an improved brand experience and more deeply evaluate third-party partners. We expect our uniform segment sales to continue to grow, driven both by our healthcare apparel offerings and the significant opportunities being uncovered by our combined branded uniforms and branded merchandise sales force. The integration of our HPI and BAMKO sales and marketing forces in the third quarter of 2021 continues to yield significant synergies and opportunities. The team recorded multiple meaningful wins that will benefit results later in 2022. Our uniform pipeline is stronger than it has been in many years, and we are now accelerating the combination of additional services within these divisions, which will ultimately result in resegmentation. The branded uniforms and branded merchandise divisions will be aligned into one segment and healthcare apparel will become its own business segment. Both will still have the benefit of some shared services. We expect this resegmentation to be complete in the second quarter. Core Promotional Product sales grew by 38.3% in first quarter 2022 compared to 2021, excluding PPE sales, and grew by 11.1% year-over-year, including PPE sales. BAMKO recorded another milestone, posting the highest quarterly net sales of core Promotional Products in the company's history during Q1. BAMKO's differentiated offerings serving some of the world's largest companies, continues to gain recognition and market penetration. The Office Gurus, our Remote Staffing Solutions segment, continues to grow at a rapid clip, posting a net sales increase for first quarter 2022 of approximately 40% when compared to Q1 2021. TOG's excellent reputation for customer service continues to drive strong demand from new and existing clients. Point of fact, new agents are rapidly joining our team with a total of 367 billable agents added across El Salvador, Belize and Jamaica in the first quarter, reaching our six-month hiring goal early. We experienced elevated absenteeism across our locations early in Q1, which is now subsided as Omicron variants adversely impacted communities around the world, including the regions where we service our customers from. Currently, agents working remotely still account for approximately 70% of our TOG workforce. On another positive note for TOG, our new center in the Dominican Republic is anticipated to begin operations later this year, fortifying our ability to meet customer demand for the next 18 months to two years. Adaptability and resilience are key to success, especially in the current operating environment. Through strategic planning, wholly focused on long-term results, SGC has been able to navigate complex macro challenges while simultaneously growing all core businesses. Our direct factory relationship from sourcing raw materials and finished products is a key differentiator over our competitors. We are purposely long in inventory and raw materials, further mitigating risks impacting the bottom line, including inflation, logistics and freight costs and supply chain challenges. Now, I will turn the call over to Andy to discuss the operational and financial highlights in more detail. Andy?
Andrew Demott: Thank you, Michael, and good afternoon, everyone. The financial and operational health of the company remains steadfast as we bring to close a multi-year capital investment phase. We are excited to begin reaping the benefits of our new robotic system at our primary distribution center in Eudora, Arkansas, which is scheduled to go live in the coming weeks. We expect the system to produce distribution labor savings of approximately $200,000 per month, while improving distribution speed and efficiency. We are winding down a period of heavy capital expenditures over the last several years, and we expect to return to more normalized CapEx spending levels of approximately 1% to 2% of revenues in the future. Now, I'll provide some quarterly financial highlights. Consolidated first quarter net sales were $143.6 million compared to $140.8 million in Q1 last year. The 1.9% increase was driven by strong growth in our Promotional Products and Remote Staffing Solutions segments. This was offset by a decline in the Uniform and Related Products segment, which included $11.6 million less in PPE contribution compared to the first quarter of 2021. Promotional Products also saw a decline in PPE contribution of $10.5 million. As mentioned on the last call, PPE contribution continues to wind down to pre-pandemic levels. And as such, comparisons will become more normalized going forward. Note that total PPE sales in Q1 of 2021 were approximately $26.8 million, while the last three quarters of 2021 combined included only $11.8 million in PPE sales. Excluding the difference in PPE sales for the quarter, net sales were up 22% compared to the first quarter of 2021. Turning to segment results for the first quarter. Uniforms and Related Products net sales declined by 11.8% to $62.2 million compared to 2021. As mentioned, PPE contribution was more normalized at $0.9 million in the quarter compared to $12.5 million in first quarter '21. Excluding the difference in PPE, sales for the Uniforms and Related Products segment grew 5.6% compared to the first quarter of 2021, driven by increased demand for uniform apparel as several industries such as restaurant, transportation and hospitality continue to recover from the pandemic. Gross margins for our Uniform segment decreased slightly to 33.1% as compared to 33.8% in the prior year first quarter. This decrease is primarily attributed to the continued impact of increased logistics costs within the supply chain associated with the pandemic. Operating margins for this segment decreased to a negative 1.2% in the Q1 of '22 versus 4.9% in Q1 of '21. The 2021 operating margin included the impact of significantly higher PPE sales, which produced higher operating margins as the preponderance of these sales required much less SG&A costs as compared to the core uniform business. As a reminder, operating results for our Uniform segment include all of our corporate overhead costs. Operating margins were reduced by the impacts of a number of factors in this segment, including air freight costs of $0.4 million, fee overruns associated with the year-end audit of $0.4 million, employment placement fees of $0.3 million associated with a number of significant positions being added and losses on our investment held to offset our liabilities under our unfunded supplemental retirement plan of $0.2 million. These items are in addition to transferring Phil Koosed into the C-suite as Chief Strategy Officer and other talent investments that we are making to catch up with our significant growth over the last several years and to help support our next stages of growth. While this has reduced operating margin in the short term, we expect these investments to pay continuing dividends with steadily improving operating results, both on the top line and on the bottom line in the future. Sales for our Promotional Products segment grew 11.1% to $65.4 million. The increase was primarily due to an increase of $17.1 million in net sales in our core Promotional Products business, including net sales contribution of $7.1 million from the acquisition of Sutter's Mill in December 2021. This was partially offset by a decrease of $10.5 million in PPE sales. Excluding the difference in PPE sales for the quarter, the Promotional Products segment grew 38.3% compared to Q1 of '21, posting a gross profit of $19.7 million and operating income of $4 million. This segment is another area where we are investing in building out our management and support structure to catch up with the significant growth that we've experienced over the last several years and to support future growth. BAMKO posted a record quarter in Q1 '22, with core branded promotional product sales reaching $61.8 million. We continue to grow both organically and inorganically, while also grappling with supply chain challenges and the continuing effects of COVID. The Omicron variant led to the cancellation of many in-person events and conferences in the first half of the quarter. Higher interest rates and inflationary concerns led to pauses in marketing spend. We recently announced the acquisition of Guardian Products, which has trailing 12-months revenue of $23 million and represents a continuation of our acquisition strategy and fits in very nicely with our recent acquisition of Sutter's Mill in December of last year. Guardian and Sutter's Mill serve similar end markets, and we plan to leverage the in-house decoration and production capability at Sutter's Mill to better serve Guardian's ever-expanding client base. And as Michael noted, the integration of the branded merchandise sales and marketing forces of BAMKO and HPI is bearing fruit, and we are accelerating the integration of the branding businesses, and we will ultimately resegment our operating results to align with these pending changes. We've already recorded some significant wins that will begin to impact sales of branded uniforms in the latter part of this year and the pipeline of large opportunities has never been stronger. We are very bullish on the future. TOG's double-digit growth trajectory continues with net sales up 39.7% to $15.9 million, another great result for our team as they continue to drive remarkable growth in this segment. Gross margins for this segment remained strong at 59.4%, despite the impact of increased absenteeism from the Omicron variant. This elevated absenteeism reduced revenues and gross margin dollars by approximately $400,000 in the first quarter of '22. Despite this impact, operating margins for the Remote Staffing segment increased to 24%. On a consolidated basis, our gross margin for Q1 of 2022 was relatively consistent at 34.7% compared to 34.8% in the 2021 first quarter, with increased logistics costs, offset by the impact of product mix shifts. Operating income was $7.6 million compared to $13.9 million in last year's quarter. Operating margins were impacted by the significant decline in high operating margin PPE business, investments in our management team and the other costs identified in the earlier segment discussions. Net income for the quarter was $5.2 million, or $0.32 per diluted share compared to $10.5 million, or $0.66 per diluted share last year. Moving to the balance sheet and cash flow highlights. As we've discussed over the last several quarters, we have beefed up our inventories in order to compensate for issues with uncertainty and delays within our supply chain in order to be sure that we can take care of our customers' needs. This has negatively impacted our cash flows in the short term and will continue to do so for a little longer. As we move later into this year, we expect that we will begin to reduce our inventory levels and will return to more normalized cash flow levels. While this investment in inventory has increased our borrowing levels, it has provided the benefit in the form of delaying some of the impact of other higher product costs. Our debt-to-EBITDA ratio remained strong at 2.6x, which is well under our covenant limit. Cash and cash equivalents at quarter end was $8.3 million. And as I mentioned earlier, we are winding down the period of heavy capital expenditures and expect to return to more normalized CapEx spending levels of approximately 1% to 2% of revenues in the future. We continue to recognize the importance of our dividend to shareholders and paid cash dividends totaling $1.9 million during first quarter '22, up 23.9% over the $1.5 million paid in the first quarter of '21. The SGC team continues to execute against our long-term growth strategies and is successfully growing sales in all core businesses. We look forward to more normalized comparisons as we move past unusual year-over-year comps beginning in the second quarter of 2022. With that, I'll now turn the call back to Michael for closing remarks.
Michael Benstock: Thank you, Andy. Superior Group of Companies is over 100 years old, yet we keep reinventing ourselves, continuously adapting and striving to improve. We are quite proud of our entrepreneurial mindset that permeates and defines SGC and drives innovation. We are managing the business towards growth and investing in talent to fortify our ranks as we move toward our goal of achieving $1 billion in sales by year-end 2025. With that, we'll open the line for questions.
Operator:  Our first question comes from Kevin Steinke with Barrington Research. Please go ahead.
Kevin Steinke: I want to start off by asking about your decision to integrate or combine Promotional Products and uniforms while separating out health care. You've obviously talked quite a bit in the past about the integration of the sales teams. But what other implications does that combination have, I guess, from a management and operational perspective?
Michael Benstock: Yes. Jake, why don't you jump in on that?
Jake Himelstein: Kevin, how's it going? Good to talk to you again. So look, we're really excited about this. Michael and Andy mentioned in their remarks, but the integration of sales and marketing at HPI and BAMKO has really picked up steam this year. Andy mentioned in his remarks, our pipeline is as deep and as large as it's ever been. And the resegmentation that's going to unite the divisions into single division, it's really the natural progression of the work we've already been doing together. So, you asked what other areas are we going to be looking at? Things like design, account management, technology, warehousing, those are key points of focus throughout the rest of the year. And we expect that we'll be able to achieve significant economies of scale by combining the two management teams and grow revenue faster than our operating expenses over the next couple of years. Plus, we'll see the benefit of lower distribution costs with the Eudora warehouse upgrade that we mentioned. So, we're really excited about what this means for our future, and we're really bullish on the combination of the two into one division.
Kevin Steinke: All right. Great. Do you plan on then maybe providing some -- just an update to the growth outlooks by segment once you get that resegmentation done?
Michael Benstock: Andy?
Andrew Demott: Yes. Yes. Kevin, we will. We will be putting together comparative information and whatnot, so that you'll be able to see that.
Michael Benstock: And if we accomplish it mid-quarter or whenever it is, we will post it out there for our shareholders. But when it's ready, you'll see it. If it's not ready until the next call, then you'll see it then. But you certainly understand what we moved and how it moved.
Kevin Steinke: Right. And just also in terms of, I guess, thinking about your four-year growth target and how that breaks down by segment. I don't know if there would be any really material change required because of that realignment. But just wondering....
Andrew Demott: Yes, Kevin. I don't see it changing our overall guidance. But I mean, obviously, to split between health care uniforms and the branded uniform piece that will be going into BAMKO could tweak the individual numbers a little bit.
Michael Benstock: There was another goal, which -- I know you didn't ask the question, but I might as well get it out there. There was another goal in that. We realized the complexity of our story sometimes being having all these legs of the stool, and it's been described that we were five legs of a stool. Well, paring it down to three by having a branded products division, a health care uniform segment and having the BPO certainly makes our story a simpler story to tell investors who might be interested in hearing it.
Kevin Steinke: Right. Okay. That makes sense. And I just wanted to ask about the selling and administrative expenses. You obviously called out that PPE sales were higher margin last year, lower cost to serve there and some of the investments in the management team you've made. It also sounded like there are maybe a few one-time expense items in the quarter. So just trying to get a handle on how we should think about selling and administrative expense run rate perhaps going forward, given there was a sequential increase in the expense base versus the fourth quarter of 2021.
Andrew Demott: I think there's -- I mean, obviously, the items that I called out would be pretty well limited to the first quarter. But the part -- there's a couple of parts that where you're looking at the investment in the management team, I think those are going to continue at the level. You're at plus. We're adding -- I mean we did mention, we're adding a couple of positions that will be end of the second quarter that will affect us. There is a transition phases of that. There'll be some overlap of talent on some of those for a period of time. So, I mean I think that will continue through the balance of this year. We will obviously grow into that as our revenues and such, where as a percentage it will come down. The other piece of it that's -- I mean, I would love to tell you, I had a better guess than you do on what the supply chain logistics issues, I mean with the air freight and things like that as to whether -- how quickly those are going to come down and when the labor pool out there is going to stabilize a little bit from availability, I think that those will continue to come down as the year comes along. But it's just a matter of how quickly, I can't really tell you.
Kevin Steinke: Right. Okay. But -- yes, just following up on that, it does seem like from your comments that you've seen some perhaps stabilization or even improvement in supply chain issues and maybe inflation. So -- and gross margin was actually a bit better than I expected. I know that's also impacted by product mix. But do you still feel like you're at a point where the price increases you've implemented what I think it was back at the beginning of December are going to hold and cover the cost increases that you've seen to this point or that you can't foresee?
Andrew Demott: Yes. I think that clearly from a gross margin perspective, I think the pricing is covering -- I mean, you can see that. It essentially is covering the impact of what's going on in that realm. The -- I mean, I don't think it as -- as you can see with the amount of extra investments we're making as well as some of the increased costs. It's not covering all of it in the short term. I think that as we get through the year, you will start seeing the SG&A as a percentage of sales improving and starting to overcome that.
Michael Benstock: Yes, Kevin, Michael. I'd agree with that. You'll see some slight improvement as the year progresses, some momentum towards it being kind of rightsized. But some of the positions that we're putting on, there's actually some overlap in positions of somebody who's leaving and somebody who's coming in and there being a transition between us, which is going to be some excess costs. We'll also have some additional recruiting fees as a result, which you could say are onetime. But with the level of people that we're recruiting, it actually is. But we might have some ongoing even beyond that. We're really focused on the human capital we need to run this business as we start moving towards being a $1 billion business. If you think about it this way, pre-pandemic, our sales were less than, I believe, $300 million. This year, they'll be a lot closer to double that. And we're operating our business almost the same with the same management team that we were at $300 million. So, we know we've got to improve. We know we've got to expand. And we know also that we have to bring a higher level of talent to hopefully achieve even better results in the guidance we've already given.
Andrew Demott: Kevin, also, I would -- I mean I touched on it in my remarks about the sales that we'll generate from the warehouse as we get it up to speed with that going into the next few weeks, we will get to the point where we will realize a couple of $100,000 a month. We did with having the system in operation. The first quarter did include essentially a full quarter of depreciation of the new system already. So the operating results were weighed by the additional depreciation expense, but did not yet have the benefits of having that system up and running.
Kevin Steinke: Right. Okay. That's helpful. Yes. Understood. And yes, I did notice the $200,000 of labor savings per month that you called out. I mean, can we think of what other efficiencies or potential savings should we think about coming out of the launch of the new Eudora system, I guess?
Michael Benstock: No. The savings will come primarily from labor. It really -- there's no packaging efficiencies or freight or logistics efficiencies that we'll achieve as a result. So it's primarily labor. And keep in mind, kind of turn the clock back, I'm sure you remember this, that it wasn't very long ago that we shut down one of our second largest distribution center in Georgia and even a second facility in Georgia and moved it all into Arkansas. Remember that we anticipate when we move that, that shortly thereafter, we'd have a robotics system in place. But because of all the supply chain delays, COVID and everything else, that all got pushed back to now finally going live. Had we gotten that warehouse live as we had hoped to in third quarter of last year, we'd already be seeing those savings.
Kevin Steinke: Right. Okay. And some pretty bullish comments on the Uniform segment pipeline and the strongest it's been in years. Can you just speak to that again in terms of the benefits you're seeing from the combined sales force, as well as maybe how that might tie into the competitive environment?
Michael Benstock: Yes. I'm going to let Jake who has been working on this day and night for many, many months, talk to you about that. Jake, jump in.
Jake Himelstein: Yes. Our uniform pipeline, it's as strong as it's ever been. I mean, Kevin, when we think about where it was, remarks that we made probably six quarters ago during the height of COVID and there was no RFPs to speak of. Everyone was kind of just hunkering down, not going out to bid. There was really not a lot of opportunities. We're in the exact opposite environment right now. There are -- everyone that was unhappy with one of their providers over the last two years is now coming out to bid, ready to move to a more qualified provider, and we represent a really, really nice landing spot throughout the branded products, branded merchandise, branded uniforms. And our feeling is that nobody else in the industry can do what we can do across branded merchandise, branded uniforms, gifting, point-of-sale, point of purchase. There'll be on-site production capabilities that we now have through the acquisition of Sutter's Mill in December. Really, when we can get our story out in front of people, there is nobody else that could do what we can do. And that's what gets us really excited.
Michael Benstock: Yes. I'm going to add to that. I want to focus in on something Jake said that there are a lot of companies out there. There aren't just a lot of RFPs out there. There are a lot of our existing clients that are rebranding. Finally, they've got through the worst period of their history, and they're starting to rebrand with new logos, new advertising, new marketing, telling a whole different story. And as they do that, they're not just rebranding their uniforms, but they're rebranding all of their promotional products as well and all their branded merchandise. And this is where we step in, and we can be the perfect one-stop easy shop for all of them. And that's the value proposition that we offer that nobody else does.
Kevin Steinke: Okay. Yes. That's helpful. And lastly, I just wanted to ask about the M&A pipeline. And -- well, I guess, it's still the Promotional Products side of the business, I guess, you'd say even though it's going to be integrated with the HPI piece. But yes, you made three acquisitions in that particular space in the last 15 months here and maybe just talk about the pipeline and the opportunities you're seeing. And is it mostly on the Promotional Products side? Are you also seeing opportunities in uniforms perhaps too?
Michael Benstock: I'm going to turn it over to Phil for that, but we've never seen more activity or more transactions and more -- all -- not just uniform companies, uniform companies, branded merchandise companies and BPOs for sale. But I'll turn it over to Phil to tell you about our activity a little bit.
Phil Koosed: Yes. I think we've done well on the acquisition trail over the years by, a, building out the most robust pipeline out there probably in the industry and then b, being extremely, choosy and picky with which companies we choose to acquire. We're going to continue to go and build out that pipeline. I would say that it is weighted more heavily towards Promotional Product, branded merchandise firms. But that being said, we also look at healthcare apparel, and we have a pipeline on that side. And we also look at the BPO, call center world as well and uniform world. So, we're active. But at the same time, we want to continue to be extremely picky. We want to make sure that if we're acquiring a company that it truly is an amazing fit and with -- and an acquisition that has incredible synergy and one that really will kind of pay off, I would say, real quick, not just from a cash flow perspective, but also in terms of what else they can add to our business. So, we're going to continue to build the pipeline. It's strong, like Michael said. There's a lot of M&A activity still out there and still happening. A lot of people want to sell their businesses, but we'll pick and choose the ones that are right for us at the right time.
Michael Benstock: I'd tell you, look, Kevin, as much as we like doing acquisitions, we always have a bunch in the pipeline. It's got to be, as Phil said and Jake said, repeat, it's got to be the right fit. But we also believe that organic growth is increasingly important at this time. So while we'll look at acquisitions, if it's not perfect for us and not the right deal for us, we're not going to do it, because we think we have enough going with respect to our organic growth to -- if we stay heads down to make that as equally a successful strategy. I'm not saying that we can't do both. We should when it's appropriate.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Michael Benstock for any closing remarks.
Michael Benstock: Okay. Well, as always, I want to thank, everybody, for joining us. We'll look forward to sharing our second quarter 2022 results with you in just a few months. Have a good day and rest of the week.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.